Operator: Good day, everyone and welcome to the Entravision Communications Corporation Fourth Quarter and Full Year 2017 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] And please note that today’s event is being recorded. And I would now like to turn the conference over to Mr. Walter Ulloa. Please go ahead.
Walter Ulloa: Thank you, William. Good afternoon, everyone, and welcome to Entravision's fourth quarter 2017 earnings conference call. Joining me on the call today is Jeff Liberman, our President and Chief Operating Officer; and Chris Young, our Executive Vice President and Chief Financial Officer. Before we begin, I must inform you that this conference call will contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ. Please refer to our SEC filings for a list of risks and uncertainties that could impact actual results. This call is the property of Entravision Communications Corporation. Any redistribution, retransmission or rebroadcast of this call in any form without the expressed written consent of Entravision Communications Corporation is strictly prohibited. Also, this call will include non-GAAP financial measures. The company has provided a reconciliation of these non-GAAP financial measures to their most directly comparable GAAP measures in today's press release. The press release is available on the company's website and was filed with the SEC on Form 8-K. The fourth quarter marked an end to a remarkable year for Entravision. To briefly review, recall that in March, we started out the year by announcing our results in the FCC TV broadcast incentive auction where we generated $263.6 million in gross proceeds. These proceeds coupled with our existing cash balance and free cash flow generation left us in a cash position approximately equal to that of our debt, creating what we now believe to be one of the healthiest balance sheets in the media business. Also in March, to further bolster our digital business, we announced our acquisition of Headway, a leading provider of mobile programmatic data and performance digital marketing solutions in the United States, Mexico, Latin America and Spain. Headway is a pioneer and leader in digital advertising with rapid growth of strong advertiser base, proprietary data assets, offering unique performance targeting technology and data systems to top advertisers and agencies. We are pleased with the progress of this business -- with the progress this business has made since closing and remain excited about the future prospects of our digital platform bolstered by this addition. In July, we added a highly complementary tuck-in acquisition to our existing Palm Springs media cluster when we announced the acquisition of KMIR-TV and KPSE-LD, the NBC and MyNetworkTV affiliates respectively in the Palm Springs market. In September, to enhance our capital returns to shareholders and in light of our strengthened financial position, we increased our dividend payout by 60% to $0.05 per share. Also in September, we announced a new $15 million share buyback program under which we purchased and retired approximately 1 million shares at an average price of $5.54 per share during 2017. In October, we executed a long-term new master affiliation agreement with our major content partner, Univision. The new agreement effectively extended our Univision and UniMás affiliations in all of our markets through December 31, 2026, with the exception of our affiliations in Tampa, Orlando and Washington D.C., where in those markets, our affiliations with Univision and UniMás will expire on December 31, 2021. And in November, we entered into a new $300 million secured bank credit facility with a group of lenders led by Bank of America Merrill Lynch. The new covenant light facility replaced our prior debt facility and effectively pushed out the maturity of our debt until November 2024. In short, 2017 ended up being an extraordinary year for Entravision, as we bolstered our balance sheet, executed complementary acquisitions, extended our long term relationship with our primary TV network partner, while significantly enhancing our capital returns to shareholders. With 2017 now in the rearview mirror, we look forward towards further capitalizing on strategic opportunities as they arise in 2018. Looking now at our financial results, revenues in the fourth quarter increased 5% versus the prior year to 73.5 million. Consolidated adjusted EBITDA was down 46% versus the prior year to 11.2 million in the quarter, while net income was up 85% to $13 million versus $7 million in the prior year, due to a tax benefit resulting from the recent federal tax changes. For the year 2017, revenue increased 107% versus the prior year to $536 million, while consolidated adjusted EBITDA was down 26% versus the prior year to 51.4 million, while net income was up 764% to 176.3 million versus 20.4 million in the prior year. Free cash flow for the year increased 536% to 287.6 million compared to 45.2 million in 2016. Turning to our television segment operating results, total television revenues in the fourth quarter were down 70%, due primarily to non-recurring political revenues in the prior year period as well as this loss of our Telemundo affiliation in San Diego in July 2017. National advertising revenue was down 32%, while local advertising revenue was down 7%. Retransmission revenues increased 2% during the fourth quarter. Excluding retransmission and political revenues, core television revenues were down 7% during the quarter. Excluding retransmission and political revenues and the loss of our Telemundo affiliation in San Diego, TV ad revenues, core TV ad revenues were up 1%. For the year, total television revenues in 2017, excluding the auction results, were down 7% versus the prior year, due primarily to non-recurring political revenue in the prior year period as well as a loss of our Telemundo affiliation in San Diego in July 2017. National advertising revenue was down 14%, while local advertising revenue was down 7%. Retransmission revenue increased 6% in 2017 compared to 2016. Excluding retransmission and political revenues, core TV revenues were down 4% in 2017. Excluding auction proceeds, retransmission and political revenue and the loss of our Telemundo affiliation in San Diego, core TV revenues were up 1% in 2017. According to Miller Kaplan, core revenue for the television industry was down 3.6% for the full year. Looking at our major verticals within our television segment in the fourth quarter, healthcare saw an 8% increase; retail increased 2% and media was up 51%. These increases were offset by declines in services minus 18%, restaurants minus 8%, auto, our largest category decreased 15% in the quarter with tier 1 down 43%, tier 2 down 7% and tier 3 local dealers decreasing 14%. For the year, we saw increases in media, which was up 93%, telecom up 5% and direct marketing which was up 26%. This growth was offset by declines in automotive minus 9%, services minus 15%, healthcare minus 2% and retail minus 11%. In the fourth quarter, we added 53 new advertisers who spent more than $10,000 during the quarter which totaled approximately $1 million in advertising revenue. Notable new brands in the fourth quarter included LegalDocs by ME, Mathis Brothers Furniture, General Air Conditioning and Alpha Media. Turning to our ratings performance, our Univision television station is built upon their market leadership in the November 2017 sweeps. For adults 18 to 49 in early local news, our Univision television station finished ahead of their Telemundo competitors in all markets, but one, where we have head-to-head competition with Telemundo. Additionally, our early local newscasts are ranked number one or two against all TV competitors, regardless of language in 11 markets. During a full week in the November book, our Univision and UniMás television stations combined have a cumulative audience of 3.2 million persons 2-plus in our markets compared to Telemundo’s 2 million persons 2-plus. We have 60% more viewers from Telemundo in our television footprint. Univision Latin GRAMMY telecast in November outperformed Telemundo’s Latin Music Awards show among adults 18 to 49 by 2-to-1 across Entravision’s television footprint. The Latin Grammy Awards had higher ratings at 11 of the 12 markets where both shows aired. One final programming note, on January 16, we closed our acquisition of KMCC in Las Vegas. KMCC will become the Azteca America affiliate as of March 26 in Las Vegas. With the acquisition of KMIR, our NBC affiliate in Palm Springs, we had the privilege of airing Super Bowl LII and the Winter Olympics from Pyeongchang, South Korea. We are pleased to report that we surpassed our budgets on both of these marquee events. The Super Bowl was 24% of our goal and the Olympics exceeded our revenue goal for this event by 14%. Now turning to our audio division. Audio revenues decreased 15% during the fourth quarter compared to the prior year. Local revenues were down 9%, while the national revenues were down 24% in the quarter. Excluding political revenue in the prior year, core audio revenues in the quarter were down 10% with core local down 6% and core national down 15%. According to Miller Kaplan, we outperformed the local revenue market in 6 of the 13 markets that we subscribed to and outperformed the market in national revenue in five markets. For the year, audio revenues decreased 12% versus the prior year. Local revenues were down 7% while national revenue was down 19%. Excluding political in the prior year, core audio revenues in the quarter were down 9% with core local down 6% and core national down 16%. Our Entravision national audio network continues to deliver solid performance with revenue growth driven by Amazon, OxiClean, [indiscernible], indeed.com, Payless Shoes and USPS. Looking at our major verticals within our audio segment in the fourth quarter, services was up 5%, retail saw an increase of 15% and audio service and repair increased 25%. These increases were offset by declines in travel leisure minus 32%, healthcare minus 6%, auto, our second largest category decreased 8% in the quarter with tier 2 increasing 31% offset by reduced spending in both tier 1 and tier 3. For the year, retail was up 8%, services was flat; auto was down 8%, travel and leisure down 5%, healthcare was down 5% for our audio sector. In the fourth quarter, we added 17 new advertisers who spent more than $10,000 to total approximately $354,000 in advertising revenue. Notable new brands in the fourth quarter included Volaris Airlines, Michael Poole Law Offices, United Management Company and Synchrony Financial. Looking at our audio division’s ratings performance, among Spanish language radio stations, Erazno y la Chokolata was ranked number one in ten markets, among Hispanic adults 18 to 49. El Show de Piolin ranked number one or two among Spanish language stations in five markets and El Show de El Genio Lucas was number one or two among adults 18 to 49 in eight markets. On January 8 of this year, we replaced the Jose brand with La Suavecita and the initial results from our PPM markets are extremely encouraging with a primetime cum increase of 17% over the same time last year, an additional 43,000 listeners and increase of over 73,000 listeners from prior month, up 33% among Hispanic adults 18 to 49. Now, let's move over to our digital business. For fourth quarter, digital revenues increased 204% versus the prior year, primarily attributable to the Headway acquisition. On a pro forma basis, accounting for the Headway acquisition, digital revenue grew 14% in the quarter. Our digital revenues accounted for approximately 28% of our total revenue in Q4, 2017. For 2017, digital revenues were up 147% versus 2016 at 57.1 million, primarily attributable to our acquisition of Headway, which closed April 1, 2017. Adjusting for the Headway acquisition, on a pro forma basis, digital revenue grew 30% in 2017 versus 2016. Our digital revenues accounted for approximately 23% of our total advertising and retransmission revenues in 2017. We are driving consistent growth in our digital revenue by the combination of our robust online and mobile audience shares, our engaged communities and our white glove service standards within our Pulpo and Headway platforms. With the Headway acquisition, Entravision has further enriched its powerful ad stack of services, all of which are fully advertiser centric, covering 14 additional countries, a market that is five times bigger than the US Hispanic market total purchasing capacity and 12 times bigger than the US Hispanic population, a market where Internet, smartphones and e-commerce penetration are strong drivers of growth, because Latin America is not yet as digitally mature as the United States. This acquisition is part of an ongoing strategy to sustain a leading digital position, not only within the US Hispanic market, but also in less mature markets internationally. As we continue growing our digital and data enriched client centered services, we are focusing on four business development lanes. First, we are strengthening our existing brand portfolio and their own communities’ reach and engagement. This effort has become a critical branded content tool that enables our advertisers to reach their customers. Second, we are adding new capabilities to our existing ad sector to provide a more accurate, efficient and rapid results to our clients. Third, we're enhancing our mobile programmatic and performance demand side with data rich platforms, clear attribution and machine learning optimizations to better support our client and our margins. And fourth and last, we are committed to further developing our digital sales by maximizing the efforts of a sales force of over 300 professionals across 15 countries with a combined population of over 735 million people and a total GDP of $9 trillion. Moreover, additional existing projects are in development with our ad tech data and business units as we add capabilities and seek economies of scale. With the Headway improvement, we are driving essential synergies and value as we advance our existing legacy media data assets and business intelligence as well as our integrated media and digital services, Pulpo and Headway. These synergies will improve our overall digital product offerings, our digital margins, our digital growth and our R&D and product development capabilities. On this front, Entravision continues to build the leading database of Latino online navigation and purchasing behavior. Also, we are building our data management platform to enable efficiencies, productivity and powerful, insightful product offerings to our clients for broadcast digital and integrated solutions. The number of brands working with us on digital campaigns continues to grow. Major brands we worked with during the fourth quarter include L.A. Care, Toyota, Procter & Gamble, Amnet Mexico, 99Taxi, US Postal Service, McDonald's, Sprint and GM. For the year, L.A. Care, Toyota, BMW, Cai Communications, 99Taxi, and Charter were top advertisers with our digital unit. We generated strong year-over-year performance in the fourth quarter in our digital business in a number of key advertising categories, including our top category of services, which saw a 71% increase. Quick serve restaurants and healthcare also saw healthy increases of 21% and 17% respectively. Overall, our digital platform continues to benefit from our unique combination of assets and expansive reach. In fact, it remains the number one digital Latino platform to reach Latinos in the United States. Based on the most recent comScore data, we connect with 41 million unique US Latinos across all acculturation levels, delivering the total Hispanic market to our advertisers. According to Appsfire rankings, Mobrain is the third mobile ad volume platform in Latin America and the number 12 worldwide. To serve this massive audience, Entravision keeps investing in the creation of quality content, digital video production and the expansion of our social media communities. We have published over 7000 original stories during the fourth quarter, which include news, entertainment, sports content and videos. These stories produced over 11 million views across our owned and operated websites and over 77 million views on all platforms. In the digital audio front, Entravision has also seen the expansion of audience during the last three months of 2017 by reaching over 816,000 unique listeners. This increased engagement generated over 7.4 million hours of digital audio streaming during the fourth quarter. As we continue strengthening the bonds with our local communities, we are thrilled to see that our cumulative social media following keeps adding followers across key networks, including Facebook, Twitter and Instagram, where we are nearing the 10 million followers mark. Overall, Entravision continues to strengthen its digital platform through its commitment to produce high quality content, increased community engagement and above all to provide the most powerful set of Latino data and digital services to our advertisers. We will continue to perform strong alliances, acquisitions and digital skill developments. Turning now to our pacing for the first quarter, television revenues are currently pacing minus 19% in the first quarter. As a reminder, on July 1 of 2017, our XHAS TV station serving the San Diego market switched tis affiliation from Telemundo to Azteca América. Excluding the impact of this change, our TV revenues are pacing minus 12%. Through January, according to Miller Kaplan, the industry recorded revenues of minus 9.4%. Our audio advertising revenue is currently pacing minus 9%. Digital revenues are currently pacing up plus 35% on a pro forma basis with the Headway acquisition. To clarify, total pro forma digital revenue in Q1 of last year, including Headway was approximately 13.7 million. Our digital business is continuing its strong momentum from Q4 in to Q1. We expect our digital business to represent over 25% of total revenue in Q1. In summary, we checked off a lot of boxes in 2017, including the successful monetization of excess spectrum in the FCC auction, expanding our digital platform via the Headway acquisition, refinancing our debt, renewing our strategic alliance with Univision and enhancing capital returns to shareholders. Moving forward, we'll continue to execute a multi-platform strategy and invest in our on-air online and mobile centric content offerings to our Spanish speaking audiences worldwide. We will continue to develop unique offerings and opportunities for brands to connect with the rapidly expanding Latino population across all levels of acculturation and all key demographics. And now, I’ll turn the call over to Chris Young, our Chief Financial Officer for a review of our financial information.
Chris Young: Thank you, Walter and good afternoon, everyone. As Walter has discussed, net revenue for the quarter was up 5% to 73.5 million compared to 70.3 million in the same quarter of last year. Operating expenses increased 10% to 45.1 million and consolidated adjusted EBITDA was 11.2 million. Net revenue for the year was up 107% at 536 million compared to 258.5 million in the prior year. Operating expenses for the year increased 5% to 168.4 million and consolidated adjusted EBITDA was 51.4 million. For the quarter, revenues from advertising and retransmission consent revenue in our TV segment were down 17% to 36.0 million compared to 43.4 million in the same quarter of last year. The decrease in our TV segment revenue was primarily attributable to decreases in local revenue and national revenue and a decrease in political advertising revenue, which was not material in 2016, partially offset by an increase in retransmission consent revenue. We generated a total of 7.5 million in retransmission consent revenue for the three month period ended 12/31/17 from 7.3 million in retrans revenue for the three month period ended December 31, 2016, an increase of 0.2 million. For the year, revenues from advertising and retrans revenue in our TV segment were down 7% to 148.1 million compared to 159.5 million in the prior year. The decrease was primarily attributable to decreases in local and national advertising revenue and a decrease in political advertising revenue, which was not material in 2016, partially offset by an increase in retrans consent revenue. We generated a total of 31.4 million in retrans revenue for the year ended 12/31/2017 from 29.6 million in retrans consent revenue for the year ended 12/31/2016, an increase of 1.8 million. Net revenue from spectrum usage rights was 263.9 million for the year ended 12/31/2017. We did not have spectrum -- revenue from spectrum usage rights in 2016. Radio net revenue for the quarter was down 15% to 17.1 million compared to 20.2 million in the same quarter of last year. The decrease in our radio segment was primarily due to decreases in local and national advertising revenue and a decrease in political advertising revenue, which was not material in 2017. Radio net revenue for the quarter was down 12% to 66.9 million compared to 75.8 million in the prior year. The decrease in our radio segment was primarily attributable to decreases in local and national advertising revenue and a decrease in political advertising revenue, which was not material in 2017. Digital net revenue for the quarter was up 204% to 20.3 million compared to 6.7 million in the same quarter of last year. The increase was primarily attributable to the acquisition of Headway during the second quarter of 2017, which did not contribute to our results of operations in prior periods. Digital net revenue for the year was up 147% to 57.1 million compared to 23.1 million in the prior year. The increase was primarily attributable to the acquisition of Headway during the second quarter of 2017, which did not contribute to our results of operations in the prior year periods. Operating expenses for the quarter were 45.1 million, up 10%. The increase was primarily due to the acquisition of Headway during the second quarter of 2017, which did not contribute to operating expenses in prior periods, an increase in salary expense and an increase in bad debt expense. TV operating expenses, excluding non-cash compensation expense, were down 1% at 20.9 million. Radio operating expenses, excluding non-cash comps, were down 4% at 16 million. Digital operating expenses, executing non-cash comp, were up 196% at 7.8 million. Operating expenses for the year were 168.4 million, up 5%. The increase was attributable to our digital media segment and was primarily due to the acquisition of Headway during the second quarter of 2017, which did not contribute to operating expenses in prior periods. TV operating expenses, excluding non-cash compensation expense, were down 2% at 81.1 million. Radio operating expenses, excluding non-cash comp, were down 3% at 63 million. Digital operating expenses, excluding non-cash comp, were up 114% at 23.1 million. Corporate expenses for the quarter were up 4% to 8.2 million compared to 7.9 million in the same quarter of last year. Excluding non-cash comp expense, corporate expenses for the quarter were 5.7 million versus 6.1 million in the same quarter of last year, a decrease of 7%. Excluding non-cash compensation expense, the decrease in corporate expenses were primarily due to a decrease in legal expenses. Corporate expenses for the year were up 14% to 27.9 million compared to 24.5 million in the prior year. Excluding non-cash comp expense, corporate expenses for the year were 23.1 million versus 20.8 million in the prior year, an increase of 11%. Excluding non-cash compensation expense, the increase was primarily due to expenses associated with the FCC auction for broadcast spectrum. We booked a net income tax benefit in the quarter of 17.4 million, primarily due to recent changes in the federal tax law as a carrying value of our deferred tax light -- of our net deferred tax liabilities decline, while cash taxes actually paid was 0.2 million. Given the elimination of our full valuation allowance in the fourth quarter of 2013, future income tax expense will run at approximately 21% of pretax income, although most of this expense will continue to be non-cash, given our NOL offsets. EPS for the quarter was $0.14 per share compared to $0.08 per share in the same quarter of last year. EPS for the year was $1.95 per share compared to $0.23 per share in the prior year period. Free cash flow, as defined in our earnings release, decreased 60% to 5.9 million for the quarter compared to 14.9 million in the same quarter of last year. Cash interest expense for the quarter was 2.7 million compared to 3.5 million in the same quarter of last year, due to interest related to our swap agreements. Cash capital expenditures for the quarter were 2.4 million. Free cash flow, as defined in our earnings release, increased 536% to 287.6 million for the year compared to 45.2 million in the prior year. Cash interest expense for the year was 12.7 million compared to 14.4 million in the prior year due to interest related to our swap agreements. Cash capital expenditures for the year were 12.1 million. Capital expenditures for 2018 are expected to be approximately 10 million. Turning to our balance sheet, as of 12/31/2017, our total debt was 299.3 million and our trailing 12-month consolidated adjusted EBITDA was 51.4 million. Cash on the books was 261.9 million as of 12/31/17. Net of 75 million of unrestricted cash in the books, our total leverage, as defined our 2017 credit agreement, was 4.3 times as of 12/31/17. Net of cash on the books, our net leverage was 0.7 times. There's one other item I'd like to review. Our auditors have informed us that they have not yet completed their audit procedures as of the time of this call. As a result, we may not be in a position to file our 10-K by the standard SEC filing deadline of this Friday, March 16. If that's the case, we will file a notice with the SEC to extend our 10-K filing deadline for an additional 15 days. As a result of the company's expanding business operations and geographical expansion, primarily related to our acquisition of Headway in April 2017, we have experienced an increase in the volume of complex accounting matters and control activities necessary to support our financial reporting. This has led to a longer audit process and in addition, we've identified a material weakness in our internal controls over financial reporting related to these matters. Although our auditors have informed us that they do not believe these expanded accounting complexities have resulted in any material changes to our reported financial results for the fourth quarter, our auditors have informed us that they anticipate completing their audit procedures by the end of March. That concludes our formal remarks. Walter and I would now be happy to take your questions. William?
Operator: [Operator Instructions] And our first questioner today will be John Kornreich with JK Media.
John Kornreich: Yeah. I have a couple. One is on corporate expenses, depending on how you want to define it is roughly 10% of revenues. That’s a lot. Any plans to get that back under control in the next year or two.
Chris Young: Hi, John. Yeah. The corporate expenses, are you referring to the year, for the quarter?
John Kornreich: It was 11% as reported in the quarter and 10% for the year. I know if you take out non-cash comp, which I would not do, it's a little bit less, but still high.
Chris Young: Right. Well, for the year, I will say this. There was almost a little more than $2 million in corporate expenses that were associated with the auction. So that's obviously non-recurring and we are in the process to look for expense trimmings to just realign the business with what's happening on the revenue front are ongoing.
John Kornreich: So what do you expect corporate to be with and without non-cash comp in ‘18.
Chris Young: Well, we finished -- before non-cash comp, we finished at around 21 million. I would expect in 2018, to be right around that same number, if not slightly less.
John Kornreich: Okay. Low-20s.
Chris Young: Yes.
John Kornreich: Okay. Next year favorite topic, radio. It's now only 5% of the company's BCF with concomitantly a 5% margin. What are the plans to dispose of this operation? Maybe, there's somebody out there who thinks they can get a 20% or 25% margins here again and that would mean you could sell this thing for 100 million bucks.
Walter Ulloa: Yeah. Just to answer it as best I can, I mean there are a couple things. We have no plans to divest the radio business at this time. I just don't think that the market is ready for the kind of acquisition you're talking about. Number two, we're taking some pretty strong measures to do two things, to bolster revenue, but also at the same time, to decrease our expenses significantly. And obviously that's something that we've started doing last -- in fourth quarter last year and continues into the first quarter and we've already made some -- making some pretty important decisions around expense reduction.
John Kornreich: Do you expect the radio division to remain profitable in ’18?
Walter Ulloa: Yes. We do.
John Kornreich: Even though, it was only 1 million bucks in the fourth quarter, which is a strong quarter?
Chris Young: We're in the process of doing this as Walter kind of alluded to, is just looking at our expense structure with radio and realigning what's happening with revenue. So, yes, we expect it to be profitable in 2018.
John Kornreich: What are the M&A opportunities in TV for your kind of company?
Walter Ulloa: There are just a lot, John. I mean, they are -- and we see everything that's out there and from --
John Kornreich: In English or Hispanic.
Walter Ulloa: Well, if they were English in a high density Latino market, by that, I mean the market is like 50% more -- or more Latino population and it could be any of the big four, but beyond that, Univision doesn't appear to be willing to divest any of their TV properties and that's basically our opportunities is Univision or a big four TV networks.
Chris Young: Like what we just did in Palm Springs.
John Kornreich: Did I hear you say that the TV core for all of ’17 adjusted for political, adjusted for retrains, adjusted for San Diego was about flat.
Walter Ulloa: I said it was plus 1 I think.
John Kornreich: I have minus 1 on my note. For all of ’17?
Walter Ulloa: Yeah. All of ’17, yeah, plus 1. Up 1.
John Kornreich: Up 1 all of – okay. Chris, what do you expect retrans to be in the New Year?
Chris Young: Retrans will be somewhere, for 2018 year end, it’s somewhere around the 31 million mark.
John Kornreich: Okay. Up slightly. Last question, on retrans, looking at around 30 million of annualized retrans, I take it the net margin on this is 100%?
Walter Ulloa: That's correct.
Operator: [Operator Instructions] And there look to be no further questions, so this will conclude our Q&A session. I would now like to turn the conference back over to management for any closing remarks.
Walter Ulloa: Thank you, William and thank you, everyone for joining us on our fourth quarter 2017 investor call. Please join us in May of 2018 of this year when we will announce the earnings results for the first quarter. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.